Operator: Hello and welcome to the Atlas Technical Consultants Third Quarter 2021 Conference Call. Currently, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] I would now like to turn the call over to your host, Walter Powell, Chief Accounting Officer of Atlas. Thank you. Sir, you may begin.
Walter Powell: Thank you for joining our third quarter 2021 earnings conference call. I hope that you have seen our earnings release issued after the market close today. Please note that we have also posted a presentation in support of this call, which can be found in the Investors section of our website at oneatlas.com. Before we begin, I'd like to remind you that today's call may include forward-looking statements. Any statements describing our beliefs, goals, plans, strategies, expectations, projections, forecasts and assumptions are forward-looking statements. Please note that the company's actual results may differ from those anticipated by such forward-looking statements for a variety of reasons, many of which are beyond our control. Please see our recent filings with the Securities and Exchange Commission, which identify the principal risks and uncertainties that could affect our business, prospects and future results. We assume no obligation to update publicly any forward-looking statements. In addition, we will be discussing or providing certain non-GAAP financial measures today, including adjusted EBITDA, adjusted EBITDA margins, adjusted net income and adjusted EPS. Please see our release and filings for a reconciliation of these non-GAAP measures to their most directly comparable GAAP measure. I will now turn the call over to our Chief Executive Officer Joe Boyer.
Joe Boyer: Thank you, Walter and I appreciate you joining us today. Before I begin, I mentioned that our Chief Financial Officer David Quinn will not be participating on this call as he is currently recovering from a recent medical procedure. That all went well and he'll be back to work next week, I along with my Atlas team wish David well on his road to recovery. So on today's call, I'll provide an overview of the business and give us an operational update. And then Walter will continue with discussion of our financial results and outlook before we open up the call for questions. Let's start it on Slide 4. It gives me great pleasure to speak with you today, not just about another solid quarter of financial and operating results for Atlas, but also to highlight the incredible opportunities we see for growth as we look forward the 2022 and 2023. This is backed by expanding market demand, stimulus funding, our-tech enabled capabilities, our major projects and program pipeline. Now before I touch on these aspects of our bright future, I'd like to highlight the strength and resilience of our business that delivered solid results in the third quarter, despite a number of challenges. This performance is really due to a focused execution by our entire Atlas team and I'm thankful for that. We delivered over 15% year-over-year revenue growth driving in an increase in adjusted EBITDA to approximately $20 million. Common to our industry, the economy-wide labor pressures impacted our margins in the short-term as cost recovery programs in the form of price increases lagged slightly. Market shifts in the transportation business led to volume decreases in some larger projects in the quarter, in comparison to the acceleration of activity in the prior year quarter where traffic progress were at an all time low due to COVID. We had a very strong quarter when it worked as our backlog again rose to a new record level of 757 million, fueled by new major project infrastructure and environmental related contract awards. This was an incredible feat during our third quarter, typically our highest revenue burn quarter. We were successful in converting in the backlog nearly half of the roughly $150 million of new awards that were pending contract execution have not yet in backlog at the end of the second quarter. And due to our results in winning new business, across markets and through the cross-selling we now have an additional 175 million of awarded but not yet signed contracts. And this demonstrates trust placed in us by our clients and the technical expertise of our professional services. Our company is purpose-built to ensure quality, longevity and sustainability in our nation’s public and private investments and are both natural and built environments. Now detailing from Slide 5, we expect markets and service areas to benefit from strong secular tailwinds unlike any other time that I've seen in my career. As the nation continues to recover from the pandemic, we're seeing a steady ramp in client demand as we move into 2022. This includes the renewal of infrastructure assets that are overdue for improvement, replacement and connectivity to ensure safety and reliability along with the renewed focus on sustaining and improving our environment. Most recent building bridge collapsed tragedies, remind us of the importance of quality assurance and asset monitoring plays in keeping the safe, which is driving growing demand for higher safety, regulatory and code compliance. We continue to see growth and outsourcing by state, DoTs, cities and municipalities and the private sector for both project and quality assurance services. This urgency to address overdue upgrades to our nation's infrastructure has only been heightened for the rise of climate impacts and the threats to public health and security. Growth of environmental, social, and governance, our ESG has increased the awareness on enhancing the quality of life for communities and sustainability of our planet. Clients are also looking for public and security improvements for the wellbeing and safety of community infrastructure and workplaces. With increasing climate and pandemic related tragedies occurring, Atlas has responded with critical monitoring of air quality for fires in the west, assessments of possible viral exposure pathways for infection and healthy building studies in hurricane flooded areas. So the commonality of all these focal points is resilience and the broadest definition is about strengthening our infrastructure, our environment, our communities, and economies to survive extraordinary challenges. And Atlas we've built a company that's uniquely positioned to address those challenges. Taking a closer look on the next slide, please and as you can see on Slide 6, the Atlas platform is directly aligned with the critical ESG focus areas of our clients. Our technical experts create innovative solutions that I will discuss a bit later on Slide 9 or at the forefront of addressing our clients' diverse needs, whether it's connecting smart cities, protecting our ecosystems, upgraded to healthy buildings or other technical services required for today's rapidly evolving standards. Starting with the focus on mobility, across modes of transportation and technology, all four of our service areas are engaged to capitalize on macro trends. Same holds true for risk, quality, and safety. Our abilities successfully win work in all these service areas to cross-selling and to consistently advance our acquisition and integration strategy is contributing to our growth and record backlog. We continue to execute on our disciplined M&A strategy targeting companies that bring rich cross-selling opportunities to the Atlas platform and are well-positioned to capitalize on the infrastructure and environmental market tailwinds. Our pipeline is very healthy and composed of proprietary opportunities that are both technical experts and fit this mold. These targets are typically firms that have seen the rapid growth and success at Atlas over a short period of time and are excited to be part of the future success of this company. And this lends itself to de-leveraging transaction structures, that the principals are eager to take Atlas back and have a vested interest in the future growth of Atlas. Several of the targets in our pipeline are in advanced stages of due diligence. And as a result, we're well positioned to expedite our strategic growth initiatives, with revenue synergies to cross selling and accelerate the de-leveraging of our balance sheet. Beyond these prevalent market tailwinds, the enactment of the $1.2 trillion U.S. Infrastructure Bill shown on Slide 7 will represent a milestone moment for the nation and for Atlas. As I said earlier, and even more so with this federal bill, this renewed focus and investment in infrastructure in environment, maybe the best I've seen in my career. In tandem with the upward trend of outsourcing critical technical and proprietary professional services that Atlas provides, this bill is an extremely positive catalyst for our business in the upcoming years. The spending bill is directly focused in the markets and services provided by Atlas with transportation being the biggest, followed by water and utilities. Technical services typically represent about 6% to 8% of the spending on infrastructure and environmental projects. So this represents large incremental opportunities for our services. We look forward to working with our diversified portfolio of public and private sector clients to drive value added services in the focus areas of the bill as new programs and spending comes online late in 2022 and beyond. Just as important as the absolute funding levels, this federal investment tailwinds prioritizes the need for performance improvement and lifecycle extension of critical assets stressed by climate health and economic impacts. That's exactly what we do here at Atlas and our momentum of winning larger projects continues to increase. Moving on to Slide 8, we have some significant sized projects planned for kickoff at the end of the year and end of the first quarter of 2022. Consistent with this, I'm excited to profile our recent $15 million I-35 project win which is a part of a major project for the Texas Department of Transportation. We will provide design, quality assurance services for the $1.5 billion I-35 Northeast Expansion design build project as a partner in the Alamo NEX construction JV team. The section of I-35 is a major gateway into the San Antonio area, is one of the most congested roads in Texas. The proposed improvements will include elevated highway lanes, additional connector bridges, construction of general purpose lanes, provisions to ramps, improving interchanges and other enhancements such as drainage, utilities and signs. And this is expected to have a significant improvement in safety and mobility, reduce congestion and accommodate the future traffic demands from the growth of the third most populous city of Texas. Under this phase of the contract, Atlas will provide design review of infrastructure assets to assure compliance with the design-build contract and TxDOT codes and specifications. We are thrilled to be part of this major project and anticipate to be in the part of the construction phase as well. Our long standing relationship with TxDOT demonstrates the trust in our expertise to deliver this major infrastructure project that will play a pivotal role in the growth of the area. And as I mentioned earlier, we will bring both technical expertise and innovative solutions to our clients. On Slide 9, I'll provide a couple of examples of how our technology applications and innovative solutions strengthen our service offerings and help us deliver results for our clients. Our client for University of Washington project was faced with a costly challenge of addressing contaminated assets during a stadium renovation, our teams’ in-depth understanding of materials reactivity allowed us to sustainably reuse materials while compliant with the environmental cleanup and code requirements. A proprietary Atlas designed leachability and geotechnical testing modeling program enabled the reuse of 60,000 cubic yards of concrete debris into the newly renovated stadium while reducing construction disposal waste and enhancing protection of nearby wetlands and groundwater quality. And another example, I'm very proud of our team's work with the city of San Diego’s critical water infrastructure. Access to this certain stretch of coastline was heavily constrained. So we use extensive geotechnical technologies, including vibrating wire piezometers and vibration monitoring equipment to develop an early warning system to coastal bluff erosion as a major threat to this critical water asset. Our technical experts can generally use proven technologies from varying applications to unique solutions from GIS integration, for monitoring and modeling wildfire impacts on high speed rail, the geophysics searching for deep aquifers in the west, extremely proud of our diverse technical capabilities. Now let me address our record backlog and third quarter key wins. As I said earlier, third quarter backlog increased $757 million with number of major project wins across services and geographies. We saw particular strength in new awards as our state and as well agency markets are getting back to a more normal course of business regarding contract procurement and letting opportunities. Now, as you can see on Slide 10, the strength of our diversity of our service offering plays well to the increased demand for our infrastructure and environmental capabilities which in turn drives backlog growth and visibility into future revenues. So with that, I'll turn the call back over to Walter.
Walter Powell: Thanks, Joe. And please turn to Slide 11. Now for the details of the quarter, gross revenue of $138.7 million was up 15.1% compared to the prior year quarter driven by strong execution across all service offerings and contributions that were both organic and from recent acquisitions. Our environmental solutions services saw the biggest gains this quarter, along with engineering and design services as we continue to see commercial markets accelerate and larger projects and programs enter the portfolio. Net revenue of $112.5 million was 15% higher than the prior year period and represented approximately 81% of gross revenues, consistent with our strategy to cross sell and self-perform more work to improve margins. We realized to improve utilization rates, even as we grew our workforce during the quarter. Like many businesses we’re managing through the great recognitions, but our marquee awards tend to attract highly qualified professionals and we've been successfully increasing our workforce this year. Adjusted EBITDA of $19.8 million was 4.1% higher than the third quarter of 2020 and represented 17.6% of net revenue compared to 19.4% in the prior year quarter. Revenue growth supported our EBITDA growth, our project mix and some labor costs inflation at a temporary impact on margins. For the third quarter, we produced the adjusted net income of $4.6 million and adjusted EPS of $0.14 versus $0.18 in the prior year quarter with some differential in EPS related to the conversion of Class B to Class A share over the past year. Moving to Slide 12 year-to-date, we have delivered positive cash flow from operations. During the third quarter, cash flow from operations was a use of 6.2 million. The primary driver of this was a larger than typical build and working capital requirements to support our revenue growth. We expect a very strong cash quarter in Q4 driving cash flow and liquidity to the highest levels during 2021. As we close the year with net leverage on path to be at approximately six times by year end. Moving to our full year outlook on Slide 13, we are raising the low end of our revenue range for the full year 2021. We now project revenue to be in the range of $530 million to $540 million. This outlook reflects the continued strength of our backlog and operational performance, the current visibility on the timing of work and the contributions from recent acquisitions. We anticipate that adjusted EBITDA will come in closer to the low end of our unchanged, $73 million to $80 million range. This is primarily due to incurring higher labor costs and impacted margins in the third quarter ahead of labor rates resetting. Given our business is approximately 90% cost reimbursable, we actively mitigate this as we price new contracts and rates on existing contracts reset. As Joe mentioned, we are excited about the passage of the Federal Infrastructure Bill and are looking forward to incremental investments for Atlas can assist our clients in the future. Based on our existing backlog, pending contract awards, strong market tail winds and the accretive benefits of recent M&A, we expect the adjusted EBITDA to grow in 2022 in the low-to-mid teen percent range. We were all extremely excited by the growth potential for our business moving forward. Thank you. And I'll now turn the call back to Joe for closing remarks.
Joe Boyer: Great, thank you again, Walter. I am proud to represent Atlas is 3,600 plus employees who are passionately working hard on critical infrastructure and environmental projects across the U.S. Our ability to deliver growth in revenues and EBITDA, pushing backlog directed levels highlights the immense potential of this team and our company. Our success in winning work reflects our effectiveness in integrating acquisitions, cross selling services and providing technology solutions to our client network. Our growth efforts continue to gain steam, supported by a resilient business model and the alignment of our business to strong long-term key market growth drivers. These market tailwinds include the renewal of aging infrastructure, broad-based commitments to environmental stewardship and the need to improve quality, safety and resiliency for our communities. We anticipate the Infrastructure Bill will help accelerate these tailwinds in coming years. We look forward to help the nation advance its transformational investments in infrastructure and the environment. I firmly believe in the power and potential of this organization, particularly our ability to deliver solid margin performance all while deleveraging our balance sheet. I look forward to continuing our positive momentum in the final quarter of 2021 and for many years to come. Thank you again for joining us today and operator you can now open up the lines for Q&A please.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Rob Brown with Lake Street Capital Markets. Please proceed with your question.
Rob Brown: Hey Joe. Hey Walter.
Joe Boyer: Hey, Rob, how are you?
Rob Brown: Great, nice shop in the quarter and I see some strong growth. I am just thinking about the growth environment, I think you had a pretty nice backlog of projects you've won that haven't been put in the backlog yet, but maybe could you comment a little bit about how the growth environment – the new contract environment is coming through right now and how you see it playing out over the next few quarters?
Joe Boyer: Certainly, really good question Rob. So as I've said, in my experience this industry is always been in a tight labor market, right? So we've built our business to address this challenge. I think we focus on being an employer of choice with a heartless culture and being competitive in compensation and benefits. I've also found it that people like to work on marquee projects and high profile projects and with our backlog of major projects growing, we have been a net importer of technical talent and successful at attracting some highly competent colleagues. So we're excited about that. I think our recruiters have done an absolutely excellent job despite the labor challenges and we see the need to continue investing there. So we'll continue our sharp focus on labor resources to address our revenue projections.
Rob Brown: Okay, great. And then it makes you clarify the how the contracting works as labor prices go up, do you sort of contractually or are you able to pass that on? And is that we show up a quarter or two later, or how does it sort of work in terms of getting the price increases?
Joe Boyer: Yes, we do. We basically we've already addressed our pricing on our commercial work and those costs have already been projected forward. On our more public work, we get a chance to pass on those costs. We do those on a term-basis or on an annual base of renewal. So basically we have a short-term lag in that and it typically is a one to two quarter lag. So we'll start to see that those impacts on our labor rates improving in Q4 and into H1 of 2022.
Rob Brown: Okay. Okay, great. And then last questions on the Infrastructure Bill. I think you talked about that sort of hitting your or starting to hit your growth in later next year. How do you sort of see that playing out and how does the federal spending, how does that normally flow through to your business?
Joe Boyer: Sure. So, you know, as I did say, first of all, I'm just very glad to see this long overdue federal investment. I know we've talked about that in the past. The strength of this company is squarely in the focus of that bill, infrastructure renewal, environmental stewardship and the climate resilience is squarely where we are focused. So from my experience, it'll take at least a few quarters to see impacts from this bill and that's even on shovel-ready projects. So it's going to take a little bit of a few quarters to see that come through. And then I said, we're already in a great environment without the bill, but certainly even better so now and I think this speaks to the sustainability of our company. Just a reminder that I know we put out this early guidance for 2022, but it does not include the impacts of this bill as of yet.
Rob Brown: Okay, great. Thank you. I'll turn it over.
Joe Boyer: Thanks, Rob.
Operator: Thank you. Our next question comes from the line of Brent Thielman with D.A. Davidson. Please proceed with your question.
Brent Thielman: Hey, thanks. Hey Joe. Hey Walter.
Joe Boyer: Hey Brian. Hey there.
Brent Thielman: Yeah, I guess first on the outlet for the rest of the year on the revenue side, I mean, implies a pretty big step up here in the fourth quarter, reasonable step up. Is that typical for your business or is that just a culmination of this backlog of work that you're going to start burning through?
Joe Boyer: Yes. Let me say that, I think we have a really good visibility into the remainder of the year, given our current book of business and our stickiness to our investor. I mean, our client relationships are, our backlog is steady and we were comfortable in raising the low end of that revenue range. Because of that, we still are making the decisions of focus and invest in 2022 and growth and beyond and I think that we feel comfortable in that, revenue is out there. I will remind you that, that what we are seeing is a steady growth across just about all of our markets and geographies. I think our environmental and testing and inspection services are steadily growing to support, pick up and commercial activity that we're seeing. Real estate transactions are increasing with financial institutions, funding deals, which drives commercial activity. Our petroleum clients are now spending on capital programs and back to almost normal levels for us. The public sector clients have been a little bit inconsistent, but are releasing delayed programs from city agencies and schools and such. And I'd say with the exception of New York, which isn't completely back steady. And then I think most important, our transportation clients now with new budgets coming forward are beginning to release new projects and budgets. And so we feel really good about what we've put out for our guidance in Q4.
Brent Thielman: Okay, understood. And then Joe, I just wanted to clarify, it sounds like at the time you get through the first half of next year, you'll sort of be caught up with respect to where you see sort of pricing on contracts today relative to inflation, you felt through the businesses, is that a fair way to think about in terms of margin performance?
Joe Boyer: Yeah. I think that's fair, Brent. And I've reminded that those are costs that we've incurred to-date. If we continue to see wage inflation going forward, of course it'll be a little bit of a lag, but we'll continue to pass that [indiscernible] as well. But I think that's fair to what you characterize Brent.
Brent Thielman: Okay. And then the $175 million in work that does that get signed this quarter and presumably fell in backlog. I'm just wondering if any of that material there at last quarter or whether the process is to turn these kind of new contracts are taking longer, Joe, any thoughts there?
Joe Boyer: Sure. So Rob, let me give you as you remember last quarter, we had $150 million of awarded, but unsigned, which at that time, as I told you was an increased, a steady increase over what we normally see. So we signed about $70 million of that in Q3. So we still got another what, $80 million or so to book. And we added to that another $95 million of awarded, not signed contracts. So I would tell you that I'd expect, you know I'd hope that half of that would be signed in Q4 and probably continue on into Q1. But it is a direct reflection of our clients being back to work and getting their contracts, groups and procurement resources back. So it is a little slower than normal, but that's what I anticipate.
Brent Thielman: Okay. That's great. Thank you guys.
Joe Boyer: Sure.
Operator: Thank you. Our next question comes from the line of Daniel Burke with Johnson Rice. Please proceed with your question.
Daniel Burke: Yeah, good afternoon guys.
Joe Boyer: Hey Daniel, how are you?
Daniel Burke: Just one on the M&A pipeline for you all, you noted you had some good opportunities still in front of you, but I guess I just wanted to ask with the Infrastructure Bill now in reality, how does that influence maybe could ask spreads when you're looking at potential opportunities and deals?
Joe Boyer: So let me start by saying that, I think the Infrastructure Bill just reinforces that we're confident in our strategy. I think we are focused squarely where the bill is focused on infrastructure and environmental tailwinds. So as we continue to look at those markets and we really are focused on really geographies where the states are being creative and particularly alternate funding means, we love the transportation space, roads, bridges, highways, water systems, transit rail and utilities, that's where we're focused. As you mentioned, we are focused on proprietary opportunities. So we typically shy away from broker-led deals. And we're looking for technology leaders and those businesses that are focused on the same market growth drivers that we are currently in and leverage those to cross-sell services. So we have seen us, a slight uptick and there's certainly some higher multiples being paid out there, but given our strategy and where we focus, we haven't seen that much of an impact on increase and maybe a half of a turn from where we've been traditionally focused. Hope that helps you.
Daniel Burke: Yeah, it does Joe. Thanks. And then I guess maybe to pivot just a little bit, refer back to an earlier question, don't want to get too, optically focused on a singular quarter, when we think about order inbounds and backlog trending through year end. I mean, you do have the benefit of your customers in many cases, being back in the office. And the fact that the pending contract award figure is up versus three months ago. I mean, it would seem to suggest a positive environment and the potential for sequential improvement in bookings in Q4 for the rise of backlog. But I want to make sure, I appreciate any sort of seasonal elements that Q4 can sometimes bring that might affect bookings you'd expect to see in a fourth quarter, if you could comment on that.
Joe Boyer: Certainly, Daniel, so I would say, I think you're fair to assume that. I will tell you that actually Q4 is our biggest – I'm sorry. Q3 is our biggest burning quarter. So backlog growth in this quarter is a real positive sign for us, obviously, I think with the – I'm just talking about normal signings of these awarded projects yet to be signed should in fact grow our backlog, would be a positive impact to our current backlog levels.
Walter Powell: Yeah. Many of the state DoTs Daniel sorry – there Daniel?
Daniel Burke: No, no, Walter, please go ahead.
Walter Powell: Yeah. So many of our state DoTs are, they just got into their new fiscal year, so we see usually hear some increased letting air in the fourth quarter as they kind of tap into their new budgets.
Daniel Burke: Okay. That's helpful. And then the last simple one, can you guys give me a – just an estimate on where organic revenue growth was year-over-year in Q3?
Walter Powell: Yeah. Daniel. So year-to-date we're above 3% organic growth. This quarter was down a little bit. We don't guide quarter-to-quarter in terms of revenue growth and organic growth. For the year, we expect to be in the mid-single digits for the full year 2021. It's in-line with our expectations and on track with our guidance.
Daniel Burke: Got it. Okay. Thank you guys, I appreciate the time this afternoon.
Joe Boyer: You bet. Thank you, Daniel. Appreciate it.
Operator: Thank you. Our next question comes from the line of Kathryn Thompson with Thompson Research Group. Please proceed with your question.
Kathryn Thompson: Hi, thank you for taking my questions today. On large project plans you've discussed this year, how you're seeing larger projects this year as company grows, the platform builds and you're just able to win larger more complex projects. And even recently with the quality assurance project that you announced in Texas is testament to that. How – what, if any change do you see with that with the passage of the Federal Infrastructure Bill and it's stepping back and like so it's really more interested in terms of what your end customers are saying and how they plan from our projects based on a potential passage of the bill. Thank you.
Joe Boyer: Sure. Hi, Kathryn, let me say that, I think we will continue to see some of these larger projects and the importance that quality assurance plays in these larger projects, which is relatively new scope of work the larger design build opportunities. So I think to answer your question, I think the projects that our state duties are planning on and putting out is probably for large projects, it's already been on the radar screen and have been bid or at least planned previously. I don't know that this Infrastructure Bill will have a dramatic impact on some of the larger projects outside of maybe Georgia 400 project in Georgia, but I'm sure there's number of other larger projects that I'm currently not aware of but my technical team would be. But I'd say the answer to that is again, I don't think there's a huge pickup in large design build pick-ups that this Infrastructure Bill will push through. And we think it's going to go mainly through state DOTs cities and municipalities, which would lend itself to more, want to say just more smaller projects in size.
Kathryn Thompson: Okay. A lot of focus on the surface transportation, but there are definitely some larger dollars set aside for wastewater. How has your work and project activity been around water and wastewater progressed into the back half of the year, should started to see early signs from the first half, particularly as you had residential build out progressing. What are you seeing now? And what does this look like over the next, say 12 to 18 months based on your experience and what you're seeing now in the pipeline.
Joe Boyer: So let me say that we have seen – around our Pennsylvania, Philadelphia area, we have seen a pickup in our wastewater design and oversight services in that area. I would say, that's about the only area that I can tell you, that I can think of that has a dramatic improvement at least over last year in services, in the water wastewater area, we are seeing obviously more construction engineering, inspection projects coming online in regards to water, so there's water projects being built out. But outside that, Kathryn I can't say that I have a crystal ball, which is the next 12 months, 24 months around water and water projector for us. I would say that majority of our projects that we have currently out there are really focused more on the transportation side of the business, including transit and rail and all forms of those projects.
Kathryn Thompson: Okay, thank you helpful in that. And then on the labor front obviously has been a focal point throughout this year. Also have the added vaccination mandate and we're hearing from a wide variety of our industry contacts that has created additional complications just in getting jobs done. How are you managing that? And what update can you give on the labor front in terms of just getting projects done?
Joe Boyer: Sure. Well, I will tell you that for us, it currently hasn't had an impact to us in regard to getting projects done or even to a turnover in staff. I will tell you, we are obviously in the middle of a vaccine build as a federal mandate on federally funded contracts. And then yet we have some state contracts that are absolutely countered to that same mandate. So we are trying to work through the differing requirements that are out there in regards to vaccines and still a top priority for us, but it has not been a current impact to getting our projects done or even turnover in our staff that I'm aware of.
Kathryn Thompson: Okay. Thank you. And have you –once again, a lot of focus on Infrastructure, but one thing that we have seen in leading into potential passage of these bills, or long-term highway bill, sometimes you'll see people hold that bidding just to see what happens, but that doesn't appear to be the case this time around, case in point you were saying mid-year, you were seeing a level of bidding activity, like you've not seen before. Just has this momentum continued and is there any momentum in turning these bids into projects in part, because of the Infrastructure Bill or other factors that we may not be taking to consideration?
Joe Boyer: Let me say that, that we saw tremendous pickup in transportation work, both mainly in the execution of the work in Q3 and Q4 of last year, right? So our transportation business grew 24% in 2020 so as the state agencies were really accelerating work due to low traffic volumes. And so we were caught in a little bit of a volume downturn in 2021 as basically some of the, particularly around the Texas DoT markets had really accelerated work. So we're now seeing that the new budgets to sort of back on track to normal historic levels there. I haven't seen, I can't cite a specific example of any impact we're seeing currently from the federal infrastructure bill on transportation, at least not in the lettings currently. And I don't know how else to answer that other than what I just communicated unless I've missed something.
Kathryn Thompson: Nope. That's helpful. And thank you for answering my questions today. Best of luck.
Joe Boyer: Thank you, Kathryn. Appreciate it.
Operator: Thank you. Ladies and gentlemen, at this time, there are no further questions. I would like to turn the floor back to management for closing comments.
Joe Boyer: I mean, thank everyone for joining us today. We really appreciate your support at Atlas and I look forward to updating you on our progress. Thank you very much.
Walter Powell: Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.